Operator: Greetings, and welcome to the Quaker Houghton Second Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Jeffrey Schnell, Vice President of Investor Relations. Mr. Schnell, you may begin.
Jeffrey Michael Schnell: Thank you. Good morning, and welcome to our second quarter 2025 earnings conference call. On the call today are Joe Berquist, our President and Chief Executive Officer; Tom Coler, our Executive Vice President and Chief Financial Officer; and Robert Traub, our General Counsel. Our comments relate to the financial information released after the close of the U.S. markets yesterday, July 31, 2025. Our press release and accompanying slides can be found on our Investor Relations website. Both the prepared commentary and discussion during this call may contain forward-looking statements, reflecting the company's current view of future events and their potential effect on Quaker Houghton's operating performance. These statements involve uncertainties and risks, which may cause actual results to differ. The company is under no obligation to provide subsequent updates to these forward-looking statements. This presentation also contains certain non-GAAP financial measures, and the company has provided reconciliations of these non- GAAP financial measures to the most directly comparable GAAP financial measure in the appendix of the presentation materials, which are available on our website. For additional information, please refer to our filings with the SEC. Now it is my pleasure to hand the call over to Joe.
Joseph A. Berquist: Thank you, Jeff, and good morning, everyone. In the second quarter, we delivered organic volume growth of 2% year-over-year, led by another strong performance in Asia/Pacific. Importantly, all segments delivered organic volume growth on a sequential basis, mitigating sustained macroeconomic pressures. We are gaining traction with our key objectives, refocusing and strengthening the organization around the customer, which is enabling us to grow our share and outpace the market at solid levels of profitability. And we have been deliberate in our actions to reduce complexity and improve our cost structure to support stronger and sustained performance over the long term. In the second quarter, we generated $42 million of operating cash flow and executed our capital allocation strategy, including repurchasing $33 million of shares. I am pleased with the team's performance in the second quarter as they continue to adapt to the dynamic external environment while keeping a clear focus on our customers' needs. Second quarter results were broadly in line with our expectations. We delivered a 4% year-over-year increase in sales, including a 2% increase in organic sales volume. This was led by an 8% increase in organic sales volume in Asia/Pacific. We also benefited from the contribution from acquisitions, namely Dipsol, which we closed early in the quarter and is performing in line with expectations. We estimate the aggregate of the markets we serve declined in the second quarter, a low single-digit percentage compared to the prior year, with regional differences. Our end markets were also largely stable with the first quarter. Uncertainty created by tariffs is impacting demand overall as well as weighing on our geographic and product mix. Share gains remain strong across the portfolio, mitigating the impact of the persistent and challenging end markets. These gains are trending at the high end of our range as we successfully convert trials and cross-sell. We remain encouraged by the business development opportunities we are generating and expect to continue to capitalize on our pipeline to drive sustained above-market growth. Gross profit dollars were in line with the prior year and above the prior quarter. Gross margins were slightly lower at 36%, but remain within our target range. Margin performance was influenced by both product and geographic mix as well as higher raw material and manufacturing costs, some of which were induced by tariffs. We generated $75.5 million of adjusted EBITDA in the second quarter, an increase of approximately $6 million sequentially, with adjusted EBITDA margins of 15.6%, reflecting our sales growth and disciplined cost management. Our resilient performance underscores the strong culture at Quaker Houghton. Our success is driven by our commitment to serving the customer. By being indispensable to our customers, we are earning the right to grow as a stronger, more profitable enterprise regardless of the end market environment. A few key areas of strength are fueling our organic growth. We believe we have the most comprehensive portfolio of solutions in our industry and our team of technical experts collectively possess unmatched industry-leading process and application knowledge. We are leveraging our financial strength and global reach by investing in new manufacturing capabilities, driving innovation through our global R&D organization and deploying resources to help our customers manufacture metals and metal-containing industrial goods more cost effectively, safer and in more sustainable ways. We are also giving our customers a broader set of solutions in improving our manufacturing capabilities in highly competitive markets, to drive growth with strategic customers and reduce churn, which is trending back to historical levels. And we are harnessing our centers of innovation around key initiatives like FLUID INTELLIGENCE to enhance the outcomes for our customers by developing breakthrough sensor technology, digitize services and automation. We also have significant opportunities in our portfolio of advanced solutions where volumes are up a double-digit percentage year- over-year. As I mentioned in the beginning, we are winning in Asia/Pacific, where we have delivered organic growth for 7 of the last 8 quarters as we earn new business in excess of market growth rates, by capitalizing on the evolving landscape in China as well as growth regions like India and Southeast Asia. We expect further contribution as we integrate Dipsol's leading technology and capabilities into our portfolio and commercialize our new facility in China in the second half of 2026, solidifying our local-for-local strategy in the region. It is critical that we continue to invest in our growth, while maintaining a clear emphasis on controlling what we can control. In the first half of 2025, we actioned our previously announced $20 million cost program, yielding approximately $15 million of realized savings in 2025. To align with the ongoing environment, we have identified further actions to drive out complexity and enhance our competitiveness. To that end, we are initiating cost actions which we expect will deliver approximately $20 million of additional run rate savings by the end of 2026. We expect these actions will deliver $5 million to $8 million of incremental in-year savings in the second half of 2025. We have closed 1 facility in our Americas network year-to-date. Further actions across the network are necessary, including possible asset consolidation, to unlock the leverage in our model and support our ability to deliver adjusted EBITDA margins in the high teens as a percent of sales over time. This journey is underway and we expect to provide more details in the coming quarters. And lastly, we are executing on our disciplined capital allocation strategy. This week, the Board approved a 5% increase to our cash dividend, our 16th consecutive annual increase. We also closed on 2 acquisitions, and we repurchased $33 million of shares. We have approximately $68 million remaining on our current authorization. And we will continue to be opportunistic with share repurchases balanced with our growth ambitions while preserving our financial flexibility. We continue to execute our enterprise strategy with a focus on driving growth and delivering greater value to customers. Turning to our outlook. Based on indicators we track, tariffs and a significant amount of uncertainty, we forecast the end market softness we experienced in the first half will persist through the second half of 2025. Our pipeline of product trials remains healthy, and we are confident in our ability to convert them to new business with customers. This will support our ability to drive above- market growth in 2025, in line with our long-term annual expectation of 2% to 4%. Dipsol is performing in line with expectations and should also help offset some of the market softness as we progress through the year. We expect the business performance will improve in the second half of 2025. And therefore, we forecast revenue and earnings will be in the range of 2024. This is based on our current market visibility and the timing and execution of the additional cost actions I mentioned earlier. We will remain diligent and agile to navigate the current uncertainty while positioning the company to capitalize on the positive long-term fundamentals of our industry. We have conviction in our strategy and are balancing the near-term and long-term needs of the organization. We will continue to demonstrate strong execution regardless of the market environment, delivering for our customers and, in turn, creating value for shareholders. With that, I'd like to pass it to Tom to discuss the financials in more detail.
Thomas Coler: Thank you, Joe, and good morning, everyone. Second quarter net sales were $483 million, a 4% increase from the prior year. Organic volumes increased 2%, driven by new business wins of approximately 5% and continued strength in our Asia/Pacific segment. Acquisitions contributed an additional 6% to sales. Selling price and product mix were 4% lower than the prior year, approximately 2/3 of which stems from product, service and geographic mix. Organic volumes grew sequentially in all our segments. Adjusting for onetime acquisition-related charges, gross margins were 36%, compared to 36.4% in the first quarter of 2025. Gross margins declined when compared to the near record levels in the second quarter of 2024, primarily due to higher raw material and manufacturing costs and the impact of geographic and product mix. Gross margins remain within our target range. Gross profit dollars increased sequentially and were in line with the prior year due to the increase in net sales. Excluding onetime items, SG&A increased approximately $8 million or 7% compared to the prior year. Excluding acquisitions, SG&A is approximately 3% lower on a year-to-date basis in 2025 compared to 2024, as we benefit from the completion of our previously announced $20 million of annualized cost and operational efficiency actions. We are managing costs in a disciplined and prudent manner without sacrificing our ability to serve customers. We delivered $75.5 million of adjusted EBITDA in the second quarter and adjusted EBITDA margins of 15.6%. The lower result compared to the prior year reflects the combination of higher sales, lower gross margins and our disciplined cost management. Switching to our segment results. Our Asia/Pacific segment generated 3% organic sales growth in the second quarter due to a strong contribution from organic volume growth. We continue to capitalize on the momentum in this competitive region, winning trials with new entrants and existing customers, and successfully cross-selling in China and in broader Asia, including India. Sales increased 20% year-over-year as organic growth was amplified by a contribution from our acquisitions of Dipsol and Sutai, which are performing in line with expectations. Organic sales and volumes increased approximately 7% in Asia/Pacific sequentially. Segment earnings declined approximately $2 million compared to the prior year, but increased sequentially. Segment margins declined compared to both periods, reflecting higher raw material and manufacturing costs as well as product and geographic mix. We remain disciplined and have opportunities across the region to improve our profitability while continuing to outpace market growth rates. Net sales in the EMEA segment grew compared to the prior year and prior quarter. End market conditions remain the most challenged in this region. On a sequential basis, organic volumes increased 4% in the region, driven by double-digit growth in our portfolio of advanced and operating solutions. Acquisitions were additive to sales on both a year-over-year and sequential basis. Segment earnings in EMEA continue to improve, increasing sequentially driven by higher sales and stable margins despite higher raw material costs. Net sales in the Americas declined 1% year-over-year, volumes declined 2%, whereas price/mix was slightly positive. This compares to a market we estimate was down a mid-single-digit percentage. Organic volumes grew 2% sequentially, driven by growth in metalworking and advanced solutions, despite a modest contraction in our end markets. Segment earnings in the Americas declined by $5 million compared to the prior year, driven by lower sales and segment margins. Segment margins in the Americas are flat with the first quarter and trending in line with 2024. Overall, our performance reflects our ability to generate value for customers and outperform our markets regardless of the operating environment. Our growth initiatives are building momentum, and we remain disciplined on cost to enhance the leverage we have embedded in our model. Turning to nonoperating costs. Our interest expense was $13 million in the second quarter. This is slightly higher on a year-over-year and sequential basis, reflecting the acquisition of Dipsol, which we funded under our existing credit facility. Our cost of debt was approximately 5% in the quarter. Our effective tax rate, excluding nonrecurring and noncore items, was approximately 28%. We expect our full year effective tax rate to be between 28% and 29%. In the second quarter, our GAAP diluted earnings per share were a loss of $3.78. This reflects a noncash goodwill impairment charge on our EMEA segment driven by persistent market volatility and geopolitical events which have increased our cost of capital in the region. We also recorded a $9 million restructuring charge in the quarter as part of our cost and optimization program. Excluding these items, our second quarter non-GAAP diluted earnings per share were $1.71. Cash generated from operations was $42 million in the second quarter. Working capital was a source of cash, as expected. Cash conversion was at the low end of our targeted range due to higher restructuring costs and the lower year-over-year operating performance. We continue to expect to deliver another solid year of cash flow in 2025. Capital expenditures in the second quarter were approximately $8 million, reflecting the construction of our new facility in China, which is expected to be online in the second half of 2026. We are maintaining a balanced approach to CapEx and are slightly moderating our expectation of CapEx spending in 2025 to 2% to 3% of sales versus our previous expectation of 2.5% to 3.5% of sales due to the timing of ongoing projects. As highlighted earlier in the quarter, we completed the acquisitions of Natech and Dipsol. We also repurchased approximately $33 million of shares outstanding and have approximately $68 million remaining on our existing share repurchase authorization. Our net debt at quarter-end was $735 million. And our net leverage ratio increased to 2.6x our trailing 12 months adjusted EBITDA, reflecting the Dipsol acquisition. We are pleased with the consistent cash flow generation of the business, and our balance sheet continues to provide ample flexibility. While macroeconomic conditions remain challenged, the team is executing well, returning to growth, highlighted by the positive inflection in our year-over-year organic sales volumes, managing costs to improve our competitiveness, maintaining margins in our targeted range and efficiently deploying capital to create long-term shareholder value. With that, I'll turn it back over to Joe.
Joseph A. Berquist: Thank you, Tom. The team has responded well to the sustained challenges in our end markets by solving customer needs and improving our cost competitiveness. The resilience and progress we are making on our journey gives me confidence in our ability to reaccelerate our growth and deliver value for customers and shareholders. With that, we'd be happy to address your questions.
Operator: [Operator Instructions] Our first question comes from the line of Mike Harrison of Seaport Research Partners.
Michael Joseph Harrison: The 5% above market growth that you guys delivered in the quarter was quite impressive, ahead of that 2% to 4% kind of target or guidance that you provide. Can you just give us a little more color on kind of where those share gains are coming from -- both from a regional perspective and specific product lines or markets? And I guess, to the extent that you have some recurring aspects to your business model, can you guys sustain a mid-single-digit above- market growth rate into the second half, or were there some aspects of Q2 strength that probably won't repeat?
Joseph A. Berquist: Yes. Thanks, Mike, for the questions. I think I'll start with share gains. Look, broad-based, we had share gains in all the regions, right? So in EMEA, Americas and Asia/Pac. Asia/Pac particularly was strong. I think we're very happy there. We're kind of winning with the new winners there, especially as automotive growth is happening in that region. So that was good. In the product mix side of things, some of the newer things that we've brought on, the advanced solutions, even the operating solutions, our specialty greases are growing pretty strongly for us. And I would say, on the sustainability side of things, I mean, we are very confident, we've got visibility to the pipeline as we head into the second half of the year. I think you've also got the benefit of business that you've won in the first half of the year that will wrap, right, as you head into the remainder of the year. So we feel pretty confident that we should be able to sustain that 2% to 4% really over the long term no matter what happens in the external markets, right? So overall, I think Asia very strong, but seeing share gains across all of our product lines, maybe a little bit better in the specialty side of things. But really growing in all the regions as well.
Michael Joseph Harrison: I wanted to dig in a little bit on Asia/Pacific margins. Can you just give us a little better sense of what's going on there and whether we could see some recovery from the Q2 weakness in the second half? And I guess, to what extent of the raw material headwinds that you might be seeing there related to oleochemicals and some of the plant-based inputs that are showing some spikes right now?
Joseph A. Berquist: Yes. So for Asia, I think I would start off by saying we're winning new business there in a lot of different areas. And with that sometimes comes some incentives for new business, first fills. Over time, those things are going to stabilize and we'll see modest improvement. There's some pure product mix, just the mix of -- do you have higher automotive, less mining, those types of things that are going on. And also India comes into play. There's particularly been a raw material impact in that region related to oleochemicals, so palm oils. And so we have some targeted pricing that we're going after. We have a few things that have held us back from doing that just based upon timing of indexes and where the contracts sit. Additionally, in Asia/Pac, we had a little bit of noise with the Dipsol acquisition. Those things should moderate over time. And then I think, generally, I would expect stability, some modest improvement in the second half. Long term, we have a new plant coming on in China and we made some recent investments in our plant in Thailand, for instance, where we're starting to do [ ester ] manufacturing there and those types of things that will really improve profitability over the long term.
Michael Joseph Harrison: All right. Last question for me is just in terms of the outlook. Clearly, you're going to need some earnings growth relative to where you were in the first half or even the second quarter here if you're going to be near 2024 earnings for the full year. Can you give us any better sense of the cadence of sequential EBITDA growth in Q3? And I guess, could Q4 be even higher. I know that typically you would see some seasonal decline in EBITDA. But what are your thoughts on the earnings cadence for the rest of the year?
Joseph A. Berquist: Yes. I mean second half we expect will be stronger than the first half from our overall perspective. But we're not really baking into that, Mike, any market improvement. Essentially, we're assuming that we're going to have flat markets heading into the second half. And where that growth is going to come from is, I mentioned wrap of new business wins and insight to how that comes on. Also visibility to our pipeline of new business as well. Dipsol, we had 1 quarter of Dipsol, right? So the acquisitions will have the benefit of an additional quarter there. I mentioned the cost actions, so $5 million to $8 million of in-year impact in the second half. I meant a wider range on that. I think it's just the timing of how we execute some of those factors. A little bit of self-help on pricing and just a continued focus on improving our operating margins in manufacturing. Yes. Mike, just your fourth quarter question. I mean, look, the seasonality of the business, generally, the third quarter is usually a stronger quarter for us. I'd say second half is better than first half. And that's largely driven by what happens in Asia/Pac, primarily China and India, in the second half. They don't see that kind of dip that Europe and the America see in the fourth quarter. So I would expect our fourth quarter will be better than our fourth quarter last year. I don't know that it would be sequentially up over third quarter.
Thomas Coler: Yes. And I would just amplify that, Mike, that as we think about the market environment in the second half, Joe sort of described it as flat. So we're not assuming any market improvement from sort of the lower -- sort of challenged environment that we saw in the first half. So assuming that environment consists with no incrementally significant impact relative to tariffs or geopolitical disrupt, and then you think about self-help, and we lag on index pricing by quarter and then some other selective pricing, that's sort of how we're thinking about second half.
Operator: Our next question comes from the line of Jon Tanwanteng with CJS Securities.
Jonathan E. Tanwanteng: It's really nice to see the organic volume growth there. I was wondering if you could talk a little bit more about the comment you made earlier about double-digit growth in the advanced products. I assume that includes FLUID INTELLIGENCE, but I was wondering if there's any more than that in there. What percentage is that of the total revenue? And if the incremental margins there are higher than the corporate average.
Joseph A. Berquist: Yes, Jon, thanks for your comments, and good to hear from you. So FLUID INTELLIGENCE, I'll start there. FLUID INTELLIGENCE really is something that goes -- crosses over all of our product lines. We are seeing really good traction there. I can give you sort of a little anecdotal story where one of the Japanese customers that we've been coveting for a long time, we've been able to get a trial there and convert some business because the technology in that space has really come along and it's helping us convert and win some new things. But that is technology that really crosses over all of our segments. On the advanced and operating solutions side, that is -- the recent Dipsol acquisition, the Coral acquisition that we made a couple of years ago, it's things within the Norman Hay Group, so plating, anodizing. These are still products that are sold into existing customer base, but they're on the finishing end of those plants. So we're adding value to the part. We're changing the metallurgy or coating the metallurgy in some way. And so we're seeing a lot of growth there. Those are newer things for us. As we bought things and we start to globalize them. If there is a strength in a region, an example there would be IKV, what we did in the grease side of things, that was a plant that we now have manufacturing capabilities in Europe and we're starting to see that take off and grow a little bit. So the overall specialty or what we would call advanced and operating solutions part of our portfolio is somewhere around 20% of total revenues, but we're seeing a little bit higher growth rate in that part of the business.
Jonathan E. Tanwanteng: Got it. Is it fair to say that's just the old specialties business that got resegmented, or is it something different than that?
Joseph A. Berquist: That's fair to say, Jon. Yes, that's -- yes, exactly how we kind of look at it.
Thomas Coler: Well, we've -- I would just add, we've continued to grow that, Jon, right, with our acquisition of Dipsol, IKV, Sutai, right. So I think as you've seen us acquire businesses over the last year to 18 months, we've had a focus on expanding our addressable market in that area.
Jonathan E. Tanwanteng: Okay. Great. That's very helpful. Second question is just wanted to drill down a little bit on the new $20 million cost savings program that you mentioned. One, what's the cash cost of that this year and next year? And two, how much of it is coming from OpEx versus COGS?
Thomas Coler: Yes. Thanks, Jon. So I would say that the way we think about it is it's sort of a 1 to 1.5x sort of the expected run rate savings that we'll see in terms of the restructuring charge. So once that's behind us, that sort of adds to the profile. But that's really how you should think about it. We took approximately $9 million worth of restructuring in Q2. And then in terms of mix associated with that, we're continuing to look across both our manufacturing network as well as opportunities to reduce complexity and ensure that we're positioning ourselves to the best possible way to support our customers. And so I would say in this current environment, it's probably a little bit more of G&A than it is network. But with the incremental $20 million that we announced as part of our Q2 earnings, I think you'll see us look at both G&A as well as opportunities to improve our network, particularly in places like Europe where we -- where our segment margins are lower than the Americas and APAC. And we've talked about that on previous calls.
Operator: [Operator Instructions] Our next question comes to the line of Arun Viswanathan with RBC Capital Markets.
Arun Shankar Viswanathan: I hope you guys are well. A nice turnaround here in Asia/Pacific. I guess maybe as you look out, what does that mean for your margin growth? Would you really need maybe some recovery in the other regions as well to continue to drive that EBITDA margin closer to 18%, I think maybe some of your prior targets? Maybe I'll start with that.
Joseph A. Berquist: Yes. Look, I think our gross margins in that 36% range -- 36%, 37%, that's really -- we feel we're in the target there. To get to the 18%, there's a couple of different things that we could do on the cost side, right? Our SG&A as a percent of sales, really G&A as a percent of sales, is higher than it's been historically. And so thus, the actions that we announced in the first half of the year and some of that is continuing. And we think we're taking prudent steps to reduce complexity, improve our cost without inhibiting our ability to grow or causing any impact to our customers. So going from sort of mid-teens to 18%, I think there's opportunity there just on the cost side. And then when you look at our manufacturing costs as a percent of sales, I think Tom alluded to, things that we're looking at in the network and just being more efficient overall in how we execute with our operations. And then finally, in an inflationary environment, and there are some things we mentioned, oleochemicals, we've got other things right now that are really tariff related. We're seeing some -- a little bit of inflation on the additive side where suppliers are -- we're local for local, so it's not like we're paying tariffs. But it's the suppliers that are saying, hey, they are experiencing difficulty with tariffs, and they're trying to pass that along the pricing. In an inflationary environment like that, we do tend to lag by a quarter or 2, but we expect over the long term that we'll be within our target range. And we've shown in the past our ability to get pricing. We have some of that ongoing right now.
Arun Shankar Viswanathan: Great. And then secondly, your customers, I guess, what are they telling you about how they feel about the tariffs? Could it be a potential positive in North America and especially for the metals complex, whether it be steel or aluminum? What are your customers, I guess, indicating to you? And would you have to kind of build some inventory or is there anything that you need to do to prepare for that?
Joseph A. Berquist: Yes. I mean it's -- I think we used the word uncertainty, and I think our customers are in the same space, Arun. People are being cautious right now as far as building their own inventory, and actually saw inventories at our customers are just down a little bit in the second quarter. Hopefully, that's a good sign for the rest of the year. As far as North America goes, it's a bit of moving the deck chairs around, right? So if something is a benefit for the U.S., it could potentially be a detriment to Mexico or Canada. We have very strong presence in all 3 countries. But over the long term, Americas is a very big region for us. So we'll see where that goes.
Arun Shankar Viswanathan: Okay. Then last one, if I could. I guess you've been in the seat for a little while now. And I guess, our perception was that you wanted to focus a little bit more on the commercial strategy at Quaker. Maybe could you just share your thoughts on how you're approaching that and if there's been any major changes? Or do you foresee any major changes? And what does that kind of -- could you describe what that could potentially be if possible?
Joseph A. Berquist: Yes. And look, I think we've seen -- look, we're very happy, I think, that we've seen our churn reduce and get back to the historical levels. That's allowing us to really take advantage of the share gain that we're getting. How have we done that? We have made some changes in our org structure. I wouldn't call them anything major or radical. It's more how we're organized around our product line management, how we're deploying in the different sales regions. But these are things that are more operational. They're not transformational. So we're very happy about our position right now. We're really happy, I think, in competitive markets like Asia/Pac and seeing growth with some of the new winners over there, which is going to be essential for the long term. But we've taken a lot of steps. Part of the cost actions that have occurred have helped us reduce our complexity. I think, in turn, that has enabled growth and that should continue as we go forward. We also -- we continue to be very strategic and prudent with our capital deployment, making acquisitions, but also we repurchased some shares in the second quarter. We couldn't do that in the first quarter. So we got back in and did that. We raised our dividend. So really optimistic about our position right now. And as I said earlier, no matter what the markets do, we're confident that we're going to continue to grow and take share.
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Berquist for any -- for closing comments.
Joseph A. Berquist: Yes. Thank you. And before closing, I just want to acknowledge the collective team at Quaker Houghton for their hard work and commitment to our strategy. And we really appreciate all of you and your continued interest in our company. If you have any questions, please reach out to Jeff and we'll be happy to follow up. Thank you.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.